Operator: (Operator Instructions) Welcome to our Q1 2009 presentation. As you’ll be able to hear already, it has been a rather busy quarter. The program for this presentation will be that our CFO Inger Klemp will go through the Q1 major transactions and highlights, thereafter a financial review, update on our newbuildings program which now has been reduced, and thereafter I will give a quick rundown on the markets in Q1 as well the outlook on how we see things, and thereafter there will be time for questions.
Inger Klemp: I will guide you quickly through the highlights and the financial review in the first quarter 2009 together with a run through of the newbuildings program. Moving to slides four and five, January 8, 2009, we took delivery of our first newbuilding Front Kathrine from Waigaoqiao shipyard and on May 18th we took deliver of our second newbuilding from the same yard called Front Queen. In January 2009 we chartered out the Genmar Phoenix and Genmar Harriet G both Suezmax tankers to Shell for the balance of the period of existing charters. In the first quarter 2009 the OBO from Striver time charter party with shipping was terminated prematurely. [Inaudible] has raised a claim which will proceed to arbitration and after consultation of the drydock in May the vessel has been fixed for five to seven months time charters. In April 2009 Frontline entered into agreement with the charter with Front Lady and Front Highness to amend the time charter agreements to bareboat agreements and extend the contracts for one additional year from single hull face off date of 2010 to around April 2011 and August 2011 respectively. These vessels will be operated as storage units and will cease to trade at the regular time period. In May 2009 Frontline has reached mutual agreements with two shipyards to cancel four Suezmax and two VLCC newbuilding contracts representing a total contract cost of $556 million or 33% of our newbuilding program. Installments already paid on the cancelled newbuildings will be applied to and set off against duty payments on remaining newbuildings. The company has further secured long term pre and post delivery newbuilding financing in an amount of $146.4 million representing 70% of the contractual cost of the last two newbuildings being built at Waigaoqiao shipyard. Moving down to slide six, I will then direct through the financial highlights in the first quarter 2009. Frontline reported net income of $77 million equivalent to earnings per share of $0.98 in the first quarter of 2009. The market price adjustment on the overseas shares in the first quarter was a loss of $27.4 million which was booked directly to equity as shares were not built to being pared March 31, 2009. On the basis of this we announced a dividend of $0.25 per share for this quarter. Moving to slide seven, net income is down $3 million lower then in the fourth quarter 2008. The decrease can mainly be explained by firstly a reduction in the time charter rate first quarter compared to the fourth quarter which has led a reduction in income upon charter basis by $18 million. The profit sharing payable ship finance has decreased in the quarter with $1 million. Ship operating expenses decreased by $7 million compared with the fourth quarter mainly as a consequence of less drydocking costs in an amount of $11 million. Charterhire expenses have decreased by $4 million in the first quarter compared with the fourth quarter; otherwise its just small changes to the different items in the P&L. Moving to slide eight, the VLCC fleets earned in the spot market approximately $56,200 per day per doubles and $28,200 per day for singles with an average spot earning of $53,700 per day. The average for the whole fleet including the contract vessels was about $50,300 per day in the quarter. The Suezmax fleet earned in the spot market approximately $38,300 for doubles and $18,200 for singles with an average spot earnings of $37,300 per day. The average for the whole fleet including contract vessels was about $37,900 per day in the quarter. The OBO earned $44,200 per day in the quarter. The TCE under show that sometime this quarter has traded better than the markets and also better then competitors with respect to the VLCC fleets, but slightly worse for the Suezmax fleets. The VLCC vessels are not included in these numbers. Moving down to slide nine, we have drydocked three vessels in the first quarter 2009 which is the same number as in the fourth quarter 2008. As you can see from the slide, we had average OpEx for the fleet of approximately $9,700 per day in the first quarter 2009. This is compared to approximately $12,000 per day in the fourth quarter 2008. OpEx and Off-hire days have decreased compared to the fourth quarter as a consequence of less drydocking costs and less expensive drydocking in the quarter. In the second quarter we expect to drydock five vessels. Moving to slide 10, the total balance sheet is approximately $86 million lower then in the fourth quarter of 2008. Main items explaining the changes are the restricted cash is $36 million lower then in fourth quarter and this mainly explained as a consequence of the release of $26.5 million in shipping which was subsequently lent to shipholding in March 2009. Long term restricted cash is reduced by $60 million as a consequence of that lease on British progress in RTCL in the current restricted cash is the lease balance payment will be due in January 2010. [Inaudible] vessels are increased with $52 million on consequential delivery of Front Kathrine in January 2009 and the newbuildings is reduced as a consequence of same. Current liabilities are reduced mainly as a consequence of reduction in lease obligations. Since the lease of British Pioneer was terminated in January 2009. Non-controlling interest is booked with $7 million related to the 17.5% in RTCL not owned by Frontline. Last quarter this was called minority interest. RTCL is included in the balance sheet with a total of $563 million of debt and obligations and the capital lease. Debt related to three of the competitors vessels are not calculated in the balance sheet with $26 million. Moving down to slide 11, Frontline’s cash cost break even rates are approximately $32,400 per day for VLCC, $25,300 per day for Suezmax and $27,700 for OBO. This is in line with the cash cost break even rates for the fourth quarter of 2008. These are the daily rates that our vessel must earn to cover budgeted operating costs estimated interest expenses and scheduled loan principal repayments, variable hire and corporate overhead costs. These rates do not take into account capital expenditures or loan balloon repayments at maturity. Furthermore, Kensington and Hampstead and the five Genmar vessels chartered in are excluded in the cash costs break even rate. Moving to slide 12 and 13, Frontline has, as I mentioned to begin with, reached mutual agreements with two shipyards to cancel four Suezmax and two VLCC newbuilding contracts representing a total contractual cost of $556 million or 33% of our newbuilding program. Installments already paid on the cancelled newbuildings will be applied to and set off against duty payments on remaining newbuildings. The total number of vessels in Frontline’s newbuilding program after the cancellations is four Suezmax tankers and seven VLCCs which constitutes a contractual cost of $1.1 billion. This includes Front Queen which was delivered on May 18th. From March 31, 2009 a total of $394 million installments have been paid on the newbuildings compared with $428 million at the end of the fourth quarter but that number also included installments of Front Kathrine delivered in the first quarter 2009. The remaining installments to be paid for the newbuildings as of March 31, 2009 amount to $742 million or 65% of total contractual costs. Expected payments are divided between the years to come with $499 million in 2009, $232 million in 2010, $216 million in 2011, and $54 million in 2012. Moving to slide 14, the company has established long term pre and post paid delivery newbuilding financing in an amount of $420 million representing 80% of the contractual cost of four of the newbuildings being built at Rongsheng shipyard and two other newbuildings being built at Waigaoqiao. As of March 31, $184 million have been drawn down on this financing. As expected to draw further $183 million in 2009 and remaining in 2010. In the second quarter 2009 we had established long term pre and post delivery newbuilding financing in an amount of $146.4 million representing 70% of the contractual cost of the last two newbuildings being built at Waigaoqiao. The company has total financial strength and particularly cash flow from existing contracts, decided to wait with respect to establishing long term mortgage financing for the four VLCCs being built at the shipyard. These vessels will not be delivered until the second half of 2011 and the first half of 2012. However, we assume that obtainable financing in today’s credit market for their own finance newbuilding contracts are minimum $60 million per vessel. Moving to slide 15, in this graph we have shown installments to be paid under the new building contract in the different years in the light blue columns. In 2009 we have also as a worse case assumption included a short term pre-delivery financing of $129.6 million which matures in June 2009. The dark blue column includes established financing, the estimated financing of payables for the newbuilding contracts not yet financed and fixed contract of cash cost rates. Moving to slides 16 and 17, the number of vessels in the Frontline fleet is 83 vessels including vessels on commercial management and also included RTCL vessels. It’s compounded by 38 double hull VLCCs, seven single hull VLCCs, one single hull Suezmax, 29 double hull Suezmax and eight OBOs. We had a contract coverage of 40% in 2009 and 27% in 2010. The average net TC rate for the total fleet is about $43,500 per day in 2009 and $45,300 per day in 2010. In addition to this fixed rate contract coverage we also have an additional 12% TC coverage on floating income in 2009.
Jens Martin Jensen: We are now at slide number 18, the earnings. We came out a few rather unwelcome on the Contango at the height of the quarter was had 12 VLCCs doing storage at rates higher then the spot market. Clarkston’s market index for Q1 was around $53,000 per day for VLCCs and $40,000 for Suezmax. Otherwise, positive factors in Q1 being storage as mentioned, delays in the newbuilding program mainly on the Suezmax and the surprising rise in crude oil imports in China. In April, China actually imported 13% more year on year. Other factors which obviously negative factors was that the OPEC crew cuts were implemented quite well. There was a general build up in crude oil stocks, and the falling demand for crude oil. Slide 19, the VLCC orderbook, no VLCCs has been ordered in the quarter and actually the last VLCC order was in October 2008. Note that numerous talks out there were up and owners for both cancellations but also postponement from 2010 to 2011 and even into 2012 and we hope we can report further on that in our Q2 report. Scrapping has finally commenced and as mentioned before, the remaining single hull fleet which is around 108 ships will likely match the orderbook for 2009 and 2010 combined. Interesting times ahead. The Suezmax fleet and orderbook, the number of Suezmax supposed to be delivered in the first quarter did not happen and we have seen only a modest fleet increase in the first quarter. We expect that trend to carry into Q2 and we’ve also seen recently Suezmax being scrapped. Further cancellation and delays are also going to happen to the Suezmax fleet and we see potential going forward for Suezmax. Slide number 21 and 22, as mentioned, nothing has been ordered in large crude carriers since October 2008. This is both VLCC and Suezmax. According to the latest figures from Clarkson’s they estimate that the newbuilding price for VLCCs and Suezmax is $125 million and $75 million respectively. It’ll be interesting to see when the next order will be placed and at what levels. The small dot on the graph is where our newbuilding orders was placed and at which prices. The TC market rate is estimated to be around $38,000 for three years for VLCCs and $29,000 for Suezmax, still at decent levels. Slide number 22, the demolition or scrapping. This graph basically shows, to no surprise, that when the earnings are high, low scrapping is taking place, and when it’s low, ships are finally heading for the beat, or they should be heading for the beat. The scrap value today for VLCC is around $8 million. If you trade the same vessel in the present market conditions and with an operating cost of $9,500 a day you will actually lose $2.2 million, try and make sense out of that. Storage, slide number 23, presently there’s around 60 VLCCs engaged in storage, everything from 30 days up to a year. We expect storage to remain a positive market contribute going forward this year. The majority of the ships in slide 24 is in the Western Hemisphere with mainly 40 being stored. On slide 25 we made an illustration about waiting days and what it costs to wait. At Frontline we have always been trying hard to push the market upwards whereas some owners have been quite happy just taking the first rate being offered. You can actually wait for five days in the present market in the Persian Gulf and you only need one worldscale point to get the same earning, so 10 days is only worth two points. You should think more about that when you take the ships. If we all push hard we can lift the market. Outlook, if we look at the outlook where we are going from here, in terms of the fleet, for sure you’ll see a major change to the newbuilding orderbook as mentioned before numerous discussions are taking place between owners and yards on both cancellations and delays to delivery. Contango storage will still be positive effect to the market. Demolition will escalate as economics have shown, providing single hull challenge is simply not there. Regarding the world, crude oil demand is low about two million barrels less per day then the world this time last year. However, China seems to have turned the corner and has increased their oil consumption and importation amount. The decrease in oil field investments and thus production in the rest of world will create a longer term scenario going forward. For example we’ll place a drop in output from Canadian project. Of course we can all hope that the Americans will stay home this summer and drive their cars extensively. Frontline going forward we have succeeded in training or reducing our orderbook. We can actually during the next 12 months reduce our fleet with around 13 ships, 15 if we go into 2011 being a combination of single hull ships and early delivery of charter commitments when the charter expires. As Inger mentioned, our charter coverage is pretty good for 2009 with 52% actually covered, 40% of them was on fixed income. As we all know, in volatile markets there will be great opportunities out there so we believe that we are soon coming back to the normal Frontline territory where we can consolidate further in the market. We are now ready to take your questions.
Operator: (Operator Instructions) Your first question comes from Jon Chappell – JP Morgan
Jon Chappell – JP Morgan: A couple questions on the newbuild cancellations. In the last quarter conference call I think a question was asked about your desire to cancel some newbuilds and I thought your answer was that you wanted to take on these new ships for replacement for your single hulls that will be scrapped over the next couple years as well as growth. Just wondering what was the thought process in the cancellation of these six vessels? Was it a function of the tanker market outlook worsening significantly over the last three months or was it just a function of the financing not being as available as you might have thought.
Jens Martin Jensen: To give you an easy reply would be a combination of what you just said. We still need to renew our fleet, as you mentioned, that’s still the case. We thought that being able to make a reduction in the fleet now was in cooperation with the shipyards better to do that now and then hopefully see some better opportunities going forward.
Jon Chappell – JP Morgan: In the last presentation there was a newbuilding chart that had the 10 VLCC delivery dates and the eight Suezmax. Can you help us which of the four Rongsheng Suezmax what delivery dates were the ones that were cancelled and which of the VLCC delivery dates were the ones that were cancelled?
Jens Martin Jensen: The last four Rongsheng Suezmax have been cancelled, the two first VLCC from Waigaoqiao has been cancelled.
Jon Chappell – JP Morgan: So you’re still going to get all three 2009 deliveries from Rongsheng.
Jens Martin Jensen: Maybe.
Jon Chappell – JP Morgan: Is the delivery schedule the same or how much has it changed?
Jens Martin Jensen: The total delays to the program, that’s of course why we have been able to come with, we believe and so, do the shipyards, a solution that fits both them and ourselves whereby we have given them delayed delivery time of the ships we keep and they have agreed to cancel the later ships.
Jon Chappell – JP Morgan: On the cost side you had the same amount of drydocks in the fourth quarter as in the first quarter but your operating costs per day were down significantly. Can you help explain that a little bit more? Also, I know you have five drydocks in the second quarter; do you have a schedule for the third and fourth quarters of 2009?
Jens Martin Jensen: What has happened is of course there’s been a reduction in the steel price and that has of course helped when you dock all the tankers we are seeing. Some of the dockings have almost been reduced by 40% to 50%. Combine that with lesser complicated drydocks in the quarter has given a reduction. What we have been doing in the second quarter we have taken some ships in which we are supposed to dock in the third quarter because of the lower market on the VLCC side at present so that’s why we’ll be docking five ships in the second quarter. We have not finalized the exact number for Q3 or Q4.
Operator: Your next question comes from Scott Burk – Oppenheimer
Scott Burk – Oppenheimer: If you look at the rest of the fleet outside of the newbuildings you were able to cancel you’re talking about seeing a third of those newbuilding orders cancelled. What vintage would those be, in other words, where are we going to see those cancellations, in 2009 or more likely in 2010, 2011, and 2012.
Jens Martin Jensen: I don’t think you’ll see many cancellations in ’09, you’ll probably see some ships supposed to be delivered in fourth quarter this year pushed into next year for mainly financial and impossible to raise finance for the last installment. I think the main drive for cancellations will be for the middle of 2010 of course then into 2011 and 2012. I think that’s where you’ll see the big changes in the orderbook.
Scott Burk – Oppenheimer: I wanted to ask about the chart you had waiting versus worldscale rates. When you look at the amount of time your single hulls are waiting to try to capture the higher rates, what’s the average wait time between voyages for your single hull fleet?
Jens Martin Jensen: We only have one single hull on the spot market. We have been fairly good at keeping that only ship going all the time. Normally what are pushing more hard on the double hull ships whereas we have seen be able to hold back a little bit, we have actually got a better result by absolving some waiting days. Of course one thing is if you can put the market up higher and still get the same return but also they will take the fleet utilization down. Voluntary waiting days are sometimes good for the market and good for everybody.
Operator: Your next question comes from Gregory Lewis – Credit Suisse
Gregory Lewis – Credit Suisse: Could you discuss two single hull vessels that were put on floating storage first? Where are they going to be located? Second, the opportunities for more single hull vessels being used as floating storage? Third, could you guide to what sort of variable rate they were going to be at?
Jens Martin Jensen: The two ships we have agreed with the present those ships have been on time charter, to the same charter for four years. This company engaged in a fuel and crude oil storage around Singapore and Malaysia where these ships will be utilized. The bareboat rate for these two ships is about $19,000 a day. One of the ships, the Front Lady which has a drydock due here in May the charters have assumed the drydocking of these vessel and the cost. You will have to calculate that into the rate if you want to compare.
Operator: Your next question comes from [Alarick Nidscale] – Bloomberg
[Alarick Nidscale] – Bloomberg: I was just wondering given the economics of scrapping that you outlined in the presentation whether you’re considering scrapping your own single hull VLCC?
Jens Martin Jensen: As I just mentioned, we only have one ship on the spot market but of course we looking at this, I wouldn’t say all the time, but we believe I would say luckily the ship we are operating on the spot market is a ‘93 build ships and we actually see some interest now from conversion buyers for this vintage of single hull which is of course on of the latter single hulls being built. We hope we don’t have to scrap the ships but of course if we have to face the market with these economics I don’t think you’d have had to go to more than high school to calculate its better to scrap it.
Operator: Your next question comes from Jon Chappell – JP Morgan
Jon Chappell – JP Morgan: On slide 17 where you have the time charter coverage, does that include the short term floating storage contracts that some of your double hull ships are on?
Jens Martin Jensen: On that chart only one ship is included. That ship is on an almost 12 month charter. Otherwise the other ships are not.
Jon Chappell – JP Morgan: If you can just give us a range of maybe what rates the shorter term contracts are on.
Jens Martin Jensen: At present we have anything from 30 to seven months coverage. We have presently six ships doing storage, which is not included in these figures.
Jon Chappell – JP Morgan: Roughly the rates that those have been signed up on?
Jens Martin Jensen: Excess the spot market I should say.
Jon Chappell – JP Morgan: On the storage, on slide 23, its look that up until 2009 the amount of ships on storage were well below what they’ve been tracking here. If the oil market does return to backordation or the Contango continues to narrow and there is a return to more normalized storage levels between 10 and 30 vessels, what type of impact do you think that would have?
Jens Martin Jensen: Obviously certainly 30 ships are coming back to the market that could be another pressure down. We think it’s unlikely to happen that fast. As the double hull ships are coming back you will see escalation of single hulls being moved out. They should hopefully neutralize each other.
Jon Chappell – JP Morgan: You would expect greater than historical average storage due to the 2009 and then a return to normalcy next year?
Jens Martin Jensen: Yes
Operator: Your next question comes from C.J. Baldoni – Evergreen Investments
C.J. Baldoni – Evergreen Investments: Can you say what you expect for profit share expense this year?
Jens Martin Jensen: No, we normally don’t make any predictions of our earnings or anything like that. We can’t do that.
C.J. Baldoni – Evergreen Investments: You mentioned the time charter was cancelled for Front Striver, what happens there with that vessel?
Jens Martin Jensen: That’s normal shipping matter. The charters were prematurely terminated the charter as ship owner we have raised a claim which they have not responded to within time so we have put the matter to arbitration. That will proceed accordingly. Of course we have to mitigate our position on this ship. We have decided to drydock her early which was due in September anyways and after that we have fixed out five to seven months charter. The claim will be dealt with in arbitration or claims situation and we of course have to see the outcome what it will be. I think we believe it’s a positive case but that remains to be seen.
Operator: As we have no further questions at this time, I would like to turn the conference back over for any additional or closing remarks.
Jens Martin Jensen: I would like to just say think for dialing in. I think we all agree that interesting times are here. I would like to say thank you for everybody in Frontline for their good and dedicated work in the first quarter this year.
Operator: That will conclude today’s conference call. Thank you for your participation. You may now disconnect.